Andre Lofgren: This is Andre Lofgren, heading up Investor Relations at Skanska. And I would like to welcome you to the Presentation of our Year-End Report for 2021. The presentation will be held by our CEO, Anders Danielsson; and our CFO, Magnus Persson. And as always, you will be able to ask questions after the presentation. And with that, I hand it over to you on Anders.
Anders Danielsson: Thank you, Andre. Before I start, I want you to look at the picture. It's in Boston, U.S. It's our project Two Drydock, high-quality, sustainable building, office which has been developed, constructed and divested by Skanska in Q4. So, let's go into the overall year-end report. We have a strong performance in - during the year in all streams. Construction, solid performance across our geographies. Residential Development continue to be a strong profitability. And Commercial Property Development, strong gains in the divestment that we have made, especially in the fourth quarter here, and also sizable starts during the year. Operating margin in construction 3.8%, return on capital employed in project development 11.8% above our target of 10%, and return on equity also above our target 20% compared to the target 18%. We have a very strong financial position. We'll go into that later on. The Board has proposed a dividend of SEK10 per share which of ordinary dividend of SEK7 and the extra dividend of SEK3. And we also managed to reduce carbon emission by 47% compared to our baseline year 2015 in our own operations. Going into the different streams. In construction, the revenue decreased to SEK132.6 billion and that is about 3% reduction in local currencies. We also managed to increase revenue in Q4 in the construction stream with about 10%. Order bookings SEK153.6 billion and we have a book-to-build of 116%. The order backlog is on a high - historically high level of SEK207 billion. Operating income SEK5 billion and the operating margin of 3.8% for the full year. Here we have two positive one-offs that we have been communicating. So if you exclude those one-offs, we have an underlying operating margin of 3.4%. And the profitability is strong and improving in our business unit and we have all geographies increase the profitability. Going into Residential Development. Revenue is SEK14 billion. We increased the number of sold homes for the full year, and we also managed to start significant increase the started homes, which was very important for us because we have had a very high sales rate in our portfolio. The operating income close to SEK2 billion and we have an operating margin of 13.8%, well above our target of 10% and also the return on capital employed 14%. It's high activity and strong profitability in our different markets and its focus is, of course, to work with the zoning to bring new products to the market and we managed to increase the number of starts in Q4. And we have been working for many years with the strategic land banking where we have the financial strength and capacity to do that and that's important to be able to increase the number of start that we have seen now during 2021. Going into the Commercial Property Development. Here, we have a gain on sale of close to SEK4 billion, and we can see that the divestment we have made during the year has been on a very attractive level - high level and especially during the fourth quarter and we have today a return on capital employed of close to 11%. Well, 36 ongoing projects which corresponds to SEK26 billion in total investment upon completion and we have a younger portfolio if you will, this quarter compared to the last few years. So we had an occupancy rate of 27% and a completion rate of 37%. So reasonably well together, follow each other and that's important to follow for us. 21 projects started in 2021, a total investment of close to SEK16 billion, the highest ever. The leasing market has been hesitant. We saw the activity picking up, especially during the last quarter and unfortunately, the new restriction that was introduced here earlier this year has slowed that down somewhat, but I expect it to come back. So it's encouraging to see the high activity during the end of last year. And the investor market is very solid, very attractive, a lot of capital out in the market that wants to invest in our properties. If we go into construction again and look at the order bookings, here you can see order bookings over time, also the development of the order backlog. Rolling 12 order bookings compared to the revenue and also the book-to-build and here, the order backlog as I said earlier SEK207 billion historically high level. And if we go into the different markets, geographies, we can see that we have had strong order intake in all markets. We are above 100% if you look at the book-to-build, except Sweden slightly below, but I'm not concerned over that. We have a strong backlog, we have a healthy pipeline and we are confident in that. If I just comment on the Europe, if - compared in absolute numbers SEK40 billion in 2020 compared to SEK27 billion in 2021. I will remind that we had in Q2 2020, the order intake of High Speed Two in the U.K., very large high-speed rail projects, which was booked at SEK14 billion. Encouraging to see the U.S. development here that we have been successful winning new profitable projects, the U.S. operations is back on track. So it's encouraging to see that we are successful in the market. With that, I'll leave it to Magnus.
Magnus Persson: Thank you, Anders. So if we look then at the construction income statement, start with the topline here. As already said, we have revenues for the full year that are down approximately 6%, but in the fourth quarter, they came back up. We grew around 10% quarter-over-quarter. I think that's a good sort of indication that the work that we have been winning, we start to put that into the ground, and then we'll see a bit of a turn here now in sort of the development of the revenue. And of course, a certain amount of that growth should be attributed to the base effect because the Q4 last year was sort of more heavily impacted by the effects of the pandemic on the market. S&A, we have stable - a good cost control, stable S&A SEK5.7 billion, managed this very well despite the sort of effects that we've seen on the volume the last couple of years here. Coming down to an EBIT margin, down a 3.8%, compared to 2.5%. So it's a very good step up compared to last year. And as Anders has already pointed out, if we take away sort of certain one-off effects, we have an underlying margin, if you will, of 3.4% for the full year. So very solid performance, I'd say, across the line from the construction business. If we look at the different geographies then in construction, Nordics delivered a 4% margin, up around 0.4% from last year, Sweden 4.1%, that includes the repayment from the sickness policy that Anders alluded to in Sweden of SEK160 million in the fourth quarter where this was booked. So the fourth quarter margin of the Swedish business of 5.6%. If you exclude this SEK160 million, it was 3.9% in the quarter and for the full year 3.6%. Europe had a good fourth quarter at 4.3% and a good full year which was obviously then impacted by the divestment of the infrastructure services in the U.K., SEK370 million gain from that divestment. U.S. operations, very good performance, delivered a strong 3.5% in the fourth quarter and for the full year then 3%. And I think we can say now that the U.S. operations is from a performance sort of margin perspective back on track again, which is very good. If we go to Residential Development, we had a good volume development here, volumes were up 10% year-over-year and of course, this is partly due to that the markets have been very favorable both with the demand but also with the price development. Gross margin at 18.8%, close to 19% then for the full year and the fourth quarter margin of 17.4%. Good cost control also here, S&As, we're learning control, EBIT margin close to 14% for the full year and a little bit lower than that in the fourth quarter. There are no particular one-offs or items that are disturbing comparability between the periods here, even if we sold slightly lower amount of rental units during 2021 and what we did in 2020. If we look at the different geographies, we had a good development in all reported geographies. Sweden had a margin of 9.2% in the fourth quarter, and not shown on this slide, but displayed in our quarterly report, mainly due to the fact that the higher number of the sold units that we have accounted for in the quarter came from newly started projects with the conservative valuation. Apart from that, I'll say in the geographies, if you look at the year here, 13% in the Nordics, 13.3% in Sweden and Europe very strong at 19%. The market has been exceptionally strong in Central Europe and the supplier has been short and our offerings are very well positioned in that market. They're very attractive. So we are selling very well and are able to sort of follow up with the price increases to make full use of the market opportunities in the European segment. If we look at homes that are started and homes that are sold, we were up with our starts to 4,400 and if you look at the fourth quarter isolated, close to 1,900 started units, which is, say, a big step up year compared to last year and it's very positive that we now manage to start more than we sell and we have been working, I'll say, very hard with the land bank situation, including the permitting in the land bank here because that is the potential bottleneck in housing development these days. And we have clearly developed in this respect. So this is I think is a good sign that these efforts are actually yielding a positive impact on our operations. Homes in production, we have now close to 8,700 units on the production. It's a fairly big step-up if you compare it to the last year with 6,900. And that's positive, of course, and as you can see in the visualization in the graph here that what is growing is mainly the parts that is unsold on construction and that's where we would like to have it these days because if you back up to the last quarter, we had the sales rate that was around 80%, which is a bit too high from a commercial perspective and now we are down to more manageable 73%. So that feels good, it's still a bit high, the sales rate, but definitely much better, it gives us the opportunity to actually have unsold units out for offering in many different markets to sort of make use of the demand that we see in our markets. If we then go to Commercial Property Development, this was a very good year from an investment point of view. We had SEK3.9 billion in gains from sold properties and our operating income over SEK3.3.billion. Q4 isolated, very strong, made five divestments and around half of the gains of the entire year came in the fourth quarter, biggest divestments here that we made during the quarter was Generation Park and Two Drydock that also is what is displayed on the cover of the report and on the first page of the presentation today that Anders showed you. If we look at the realized and unrealized gains, we have now SEK10.4 billion in the portfolio of unrealized gains, which is basically the same that we had in the third quarter, but you have to add to the fact that during the quarter, we realized SEK2.1 billion in gain. So the underlying creation of value in this portfolio is very strong at the moment here. And you can also see that the unrealized gains in completed projects is decreasing compared to the third quarter for the very reason that we are selling these properties, which is a good sign of the attractivity also what has been completed and still have not been sold. If we go to the next slide, this shows you the completion profile of the property portfolio that we have. We now have SEK7.9 billion in total investments in the projects that are completed and unsold, which just - and down from around SEK10 billion in the third quarter. There is a good leasing profile of the rest of the portfolio, as you can see, we don't expect to complete much during the first quarter of this year. But we have in that 91% leasing rate and then the leasing rate comes down 36%, 36% and so on. And normally we would start so to working with leasing maybe 96-months ahead. So I think this leasing profile matches our portfolio very well right now. And we've also, during this year already up until today, divested one more of the properties that are in the unsold completed bar, which is the West Memorial that is located in Houston in the energy corridor. If we go on, we look at the leasing. We had, end of the quarter, a leasing ratio of 27%, which is the orange line and this is done for the ongoing projects. If you look at the leasing rate for the completed projects at 70% that you can take into count. So average of that's 41%. It's clearly an increased interest from tenants in leasing and we have signed several leases here during the quarter, Sweden, Denmark and Poland and Czech Republic. And actually, when the restrictions were lifted, we note that's the good step up in this interest and also the sort of signing of leases, 70% of the leases that we took in during the year came in the fourth quarter of that. So, I see a clear sign that the market came back when the restrictions were lifted a bit as we had expected also. Rents are actually strong, the tenants do have high requirements on healthy and green workplaces which fits our offering very well. If we then go into the group income statement, we had the EBIT from the business streams of SEK10.3 billion, so - which is a solid increase from last year. If we look at the central line, which also includes our legacy operations. Of course, the comparison period here of 2020 includes the divestment gains from the Elizabeth River Crossings project in the U.S. Apart from that this year, central costs were SEK415 million and approximately - that includes approximately SEK200 million in profit from discontinued operations or from operations under that are being run off. If we look at net financials, quite uneventful actually during the year here, very much similar to last year. Low tax rate of 15% and we delivered an EPS of SEK19 and for the full year. If we go to cash flow, the cash flow is, I'll say, lower. It's trending downwards much as expected because we are now entering more and more into a net investment territory as we have said for a few quarters here now. Both RD and CD have, during the year, been able to reinvest all the gains that they've made from their divestments into new development projects, which is of course a very good sign building up the potential for profits here for the coming years here. So cash flow because of that is tapering off a bit much according to our expectations, and our earlier communications. Free working capital, very strong position here, 20% of revenue. We ended with a working capital position in construction then of SEK29 billion, which is historically very high. And I can see an indications here that this is about to change and the strong backlog we have with a good payment profile in the jobs would rather be supportive of this position than anything else. But it is a very high or very strong working capital position we have. Investments and divestments, and this I've already been alluding to, we can see on the green line which shows the net investments that we are coming down and moving from net divestments into net investment territory here. And following this, we are also increasing the capital that is employed both in residential development and in commercial property development from 2020 up until end of 2021. The funding of the Group, we have a very low level of external funding that is needed. We have total SEK3.3 billion, no maturities up until 2023 and around SEK18 billion in funds that are available to us. We sum it up and look at the financial position, very solid equity base in the company SEK4 billion to SEK6 billion, approximately, adjusted net cash position of close to SEK18 billion to be compared to the limit that we have, which is a negative SEK10 billion. So plenty of firepower available for us to continue to expand the property development operations and to build up the investment property portfolio here. Equity to asset ratio 33%, really indicating that we are in a very stable financial position in this company at the moment. I hand over to you, Anders.
Anders Danielsson: Thank you. I will go through the market outlook in the different streams. Starting with construction, we can see the pandemic is still present, activity is increasing though in our markets and we expect it to continue doing that to be a stable market throughout the year. The price increases on certain materials and bottlenecks in the supply chain has been a challenge to you during the year, of course, but I think we have been handling this in a very good way in different ways, work with securing prices before we bid projects and also securing the supply chain during the execution of the project, so that has been successful. And we can see ambitious investment plans on the development in many of our markets, but we also see that the lead times are usually quite long, but we do believe in this overall stable market for construction. The same with the Residential Development. We believe in a stable market. There is a shortage of home in our different markets of housing and the - we can see that the activity is increasing. There are some risk, of course, for the market outlook, rising unemployment rate, interest rate could impact the demand negatively but we do believe in the stable market here. On Commercial Property Development, we have - the outlook is unchanged from last quarter. We can see that investor appetite are still solid and we don't expect that to change. And we can see the tenants, they're still hesitant. But as we have been talking about, activity has picked up during the fourth quarter and we expect that to come back after the restriction are released and we will follow that closely. And if you summarize the Group, a strong fourth quarter and a robust full-year performance in all streams. Construction, solid performance across our operation. We increased the profitability in all geographies. Residential development continue to be a strong performance, strong profitability. And Commercial Property Development, strong gains in the divestment that we have made and we have also been able to start a lot of new projects, which is encouraging for the future. We have a very strong financial position and the strategic direction continue the strategic direction that we also announced in the Capital Market Day. We continue to - we will continue to improve profitability in construction and also grow responsibly where we think it's right. We showed to be the leading residential developer and stay the leading residential developer. We're in our markets and we will grow the Commercial Property Development and we will also build up our new stream investment properties portfolio in the future. With that, I'll leave it back to Andre to open up the Q&A.
Andre Lofgren: Thank you, Anders, and also thank you, Magnus. All right. It's Q&A time. So please follow the instructions from the operator.
Operator: [Operator Instructions] And our first question comes from the line of Markus Henriksson from ABG. Please go ahead. Your line is open.
Markus Henriksson: A few questions from me. To start off with constructions, we can see now three quarters in a row here with solid underlying margins in rest of Europe. And I also see that the market outlook here for the region is up sequentially. Could you highlight for us how sustainable the margin journey is since if we go back historically it's been quite sluggish?
Anders Danielsson: Yes. It's definitely, we have stabilized the operation. The underlying performance is good. We have worked through the loss-makers that we saw four-years ago. And we also has increased the level of performance and we have been more selective when we go for projects. And as you have seen during the years, we have reduced the revenue, especially in Central Europe, and we are now in a healthy core. So I would expect that stability to continue definitely. And as you point out, we have also increased the market outlook somewhat in - especially in residential stream for both the development and the external market.
Markus Henriksson: That's clear. Thank you. And then regarding leasing activity, I think it's a clear message here. But would you say that it's basically only restrictions that have been the main reason here behind the slow market in the second half of 2021, earlier we saw in working from home and other kinds of risks being discussed? What's your take there?
Magnus Persson: Thank you for your question. I think it's hard to separate those two from each other as reasons. I mean, we had the pandemic, which led to people working from home due to a risk of being affected and so on, and then comes restriction. So I really can't separate what is water, but either way, we saw a clearly positive sort of trend in interest from tenants and leasing when restrictions were lifted. So we - right now, we have the Omicron situation and so on, but we're positive towards the interest from tenants in our properties as soon as these properties can be used to sort of a fuller extent and not - that's not being hampered by restrictions.
Markus Henriksson: Thank you. And then on the projects that are completed here in 2022, if we look at Citygate, et cetera, several of them have quite weak occupancy figures. If we look, you mentioned earlier that leasing activity did pick up. Did you have several major like chart negotiations that there would be likely to materialize in the coming say three to nine months?
Magnus Persson: Yes. We have a big sort of pipeline of ongoing discussions and those are in different degrees of maturity, if you will. And obviously, you don't sign all the leads you have but leads are quite strong and there is a lot of discussions ongoing. And we have signed leases in several different markets here during the fourth quarter and these discussions that I just mentioned they continue still so.
Markus Henriksson: Last one, I was talking about the divestments here in the U.S. in Q4, very solid margin in the - yes, in the country. I know that every project is unique. But do you think we can draw any conclusions here for future U.S. CD projects since I have not seen this type of, yes, solid margins for a long time?
Anders Danielsson: Yes. As we've been saying here, we can see the investor market is solid, and we expect it to be - continue to be that and it's - we have a very attractive building there in the right location, they're high-quality, very high standards on the environmental power gen. So it's a lot of capital, and we expect that attractivity to continue.
Operator: Thank you. Our next question comes from the line of Erik Granstrom from Carnegie. Please go ahead. Your line is now open.
Erik Granstrom: Thank you very much. Good morning, everyone. I have a few questions as well. I'll start off with construction. Anders, you mentioned that you will sort of carefully grow the operations from here within construction. Could you say something of what sort of geographical areas do you think you have the opportunity to grow or are you looking into new areas?
Anders Danielsson: We definitely think we are in the right geographies today, and - but we do see the market is picking up and we can see that since we are back on track in most of our market now, I can allow a responsible growth, but it will not be the first priority. The first priority is still profit before volume. So - and I do see the continued opportunity to increase the profitability. So there is a number one. But since we are competitive in our different market, I will allow some growth.
Erik Granstrom: Okay. And in terms of profitability, you mentioned that you are performing well in the construction areas. Where do you see potential to further improve profitability? And where do you personally think that you are at a level that is sustainable, but where the operations are already performing at such a high level that we shouldn't expect much more?
Anders Danielsson: Yes. It's a good question. I think, as I said, U.S. is back on track, but I still see some opportunities there to increase profitability, I expect the Nordic operation, if I look at the overall to increase profitability and I also see some more potential in Europe. So I think in all geographies, I actually can see some more opportunities which is encouraging. We have still more to do here.
Erik Granstrom: Okay. And then I have two more questions. The next one relates to Residential Development. And Magnus, I think you mentioned a little bit about Central Europe and your operations there. Do you see any growth potential? I mean you are obviously supporting quite nice profitability in this area, but it's still quite small. Do you expect to increase that? Or is growth within RD solely to be expected in the Nordics?
Magnus Persson: Thank you, Erik. Yes, we definitely have the ambition to grow RD. And Central Europe is definitely one of these places. But it is important that when you start to grow, you need to first have sort of done your homework and have the right land bank and sort of permits in place to follow up, follow through with such a growth plan and then we are by nature in this company sort of cautious when it comes to executing on growth plans. So we really try to build our presence in the right cities and then grow from there. But to answer your question straight, yes, absolutely, we have - we would like to grow that fine operation that we have in RD Europe.
Erik Granstrom: Okay. And my final question relates to the proposed dividend. You have SEK10 now proposed, of which SEK7 is ordinary and SEK3 is extraordinary. How should we view the dividend in terms of the policy, the policies 40% to 70% of EPS. And I know you pride yourself of being a company with stable and increasing dividend. Does that relate to the ordinary dividend or is that the overall dividend, meaning that we should expect SEK10 to be some sort of starting point going forward? And also in relation to that, the previous year, when you had an extraordinary dividend, you also have the ERC divestment, which I think was part of the rationale for the extra dividend. Now, we are seeing another one this year. Is this something that we should count on or is it the ordinary dividend that is still your main focus point in terms of deliverance to the Board?
Anders Danielsson: I can start. I don't think you should complicate things. We have a total proposed - the Board has proposed now SEK10 per share as a total dividend for the year and I think the background is we are high performing company now. We performed very well. We have a very strong financial position and that's the main reason. And then we don't forecast - give you any forecast of future dividend. This is what we proposed for last year.
Operator: Thank you. Our next question comes from the line of Pam Liu from Morgan Stanley. Please go ahead. Your line is open.
Pam Liu: Thank you very much. I have three questions, please. First one in construction services. So, we note that the percentage of large orders, i.e., that is about SEK300 million has been lower in both Q3 and Q4 compared to where it has been in the past. I'm just wondering whether this is part of your selective bidding strategy, are you going for smaller contracts or this is just what is happening in the market right now? Are you seeing generally more smaller tenders perhaps, maybe customer is a bit concerned about the rising cost and then what would you say about the profitability of smaller versus large contracts? That's the first question. Second was, during this section, the free working capital in Q4, just want to understand more of the drivers here. So, why do customers want to pay even more in advance? Is that because it helps them to perhaps go to lock in some of the subcontractors through you, and early on to secure the availability? It's just to understand whether this would or could unwind a bit once the supply chain pressure eases. And third question is with residential. So I note that's Q4 margins where Sweden is quite low, below 10% compared to what you have achieved in the past. We also know that some of your peers still printing above 10% margins for residential in Sweden. So just to understand a bit more of the back one here. Do you see the demand starting to soften or consumers or customers become more price-sensitive perhaps? And is that okay, is it possible to get a regional split of your Swedish residential development exposure, please? Thank you.
Magnus Persson: Thank you. I will try to take your questions one through three. And if I miss out on something, please remind me. But to your first question regard - well, it's regarding the relationship of what you call large orders versus sort of non-large orders then in Q3 and Q4 and whether the lesser amount of large orders was an indication of something. And I will say it is not. This will go a bit up and a bit down depending on what is available for us to bid for and what we consider to be attractive. So that's what we're cautious and strict in our bid assessments whether jobs are big or large. So, of course, that will impact everything. Net working capital, I mean why certain customers want to pay in advance as you put that, I have to ask them about that but we are of course very careful to make sure that we have good payment plans, good payment terms in all of our contracts because at the end of the day, you need to back up any profit you make with cash. And we always like to be sort of front-loaded in the payment plans. And that's - we are very skillful in our operations to negotiate this and I think we have a good level of trust also from our clients to sort of trust us in having such payment plans because we do deliver what we say, we will. And as I said earlier on in the presentation, this is, of course, something that we look a lot on and we see no clear indications that this is about the change rather a younger portfolio where we build up sort of the bigger volume perhaps or potential volume would be supportive of the good net working capital position. Your third question was regarding the margin in the Swedish operation - RD operations, in the fourth quarter 9.2% and whether or not that is indicative of a change of sort of pricing on the market. Also, as I said during the presentation earlier, the reason for that is mainly that the larger part of the sold units that were accounted for in the fourth quarter in the Swedish RD operations came from newly started projects. And of course, when you just have started the project, we are more cautious with profit recognition and valuation of those entities. So that is what perhaps then dilute, if you will, the margin a little bit. It is not the sign of any sort of change in the willingness to - from client - customers to payer. Thank you.
Pam Liu: So at the - thank you very much for that. And the final one was, is possible to get the regional split of your Swedish residential development exposures, is that mostly in Stockholm or spread across different areas?
Magnus Persson: The main areas we have is Stockholm, Malmo and Gothenburg but we also have a presence throughout the country in smaller - in sort of smaller cities. We do not report that split externally. So I think you will have to sort of satisfy yourself with that answer. Thank you.
Operator: Thank you. Our next question comes from the line of Gregor Kuglitsch from UBS. Please go ahead. Your line is open.
Gregor Kuglitsch: Thanks and good morning. Thanks for taking my question. It's really maybe a couple and specific to cash flow because obviously there's two dynamics here, right. One is the working cap, which I think you sort of suggested it's going to look sustainable, if I understood sort of your description around the free working capital correctly. And then the second dynamic, I guess is the sort of net investment divestment out of your property business. So if you could give us a sense what you think is going to happen, particularly on the second part? So the net investment divestment element going forward, I appreciate your plans to expand, but at the same time, you're obviously going to generate profit and so on. So if you just give us a sense what you think the cash flow dynamics are? And then maybe a small question. I think you're expanding the residential business in the U.K. If you could just maybe give us an update where we are on that side, please? Thank you.
Magnus Persson: Thanks for your question. I will start with the cash flow question here then. I mean you're entirely correct, a lot of our cash flow first comes from sort of standard from operations then that is impacted by net working capital and then we have the really big one, which is the net investment or net divestment. So I think you have a good question. And of course, where we are now, we have been for quite some time, net divesting from property portfolio that have been very big, building up a very large cash position in the Company. But of course, the job here is to ensure that we have profits in the future. So we started the highest amount of commercial development projects ever actually during last year. You can see also in the fourth quarter or for the full year in 2021 that the number of starts in the Residential Development stream went up very significantly so during the fourth quarter, indicating ambitions to start more. And of course, the cash need in those projects, they are not immediate, they will come - they come, first, we acquired a land and that has been already done obviously. Otherwise, we can't start the project and then the cash flows into these projects are successively as we complete them, and this will lead to a, I'd say, a large impact on that net investment divestment in the cash flow from now up until these projects are completed. And you can sort of say an average completion time for a project might be around two, 2.5-years or something like that. And so that we will have to take into account, of course, but then beyond that what we already have communicated and sort of have in the books, really can't and I won't speculate about cash flow further than that, but our intention is, of course, to continue to grow the Property Development portfolio. So we're not going to have a hump of growth now if you will and then dial this back. But if we reach a new level, our ambition is to stay at that level, then of course, over time, cash flow will then even out and if you stay still on the volume of development projects, the positive cash flow will be equal to the gain from the projects that are accounted for divestment.
Gregor Kuglitsch: Okay. Thank you.
Magnus Persson: Thank you. And then...
Anders Danielsson: I can comment on the Residential Development activities in the U.K. We have launched the book low concept in the U.K. and that's a cooperation with IKEA, that's been very well received in different markets that we have been looking at and we - so far we have been looking predominantly in the southern part of the U.K. and also in the Southwest. And we also have acquired some land in those areas and we also have started a couple of projects. We - during last year, we also started one project in 2020. So we have ongoing projects, we are building up the land bank and we have the organization in place. So I'm confident and encouraged by the development and there is a great opportunity. It's in - the need for residential new homes in the U.K. is enormous. So this is a niche more if you call it affordable housing, if you will, that is really attractive for us. So, it's going as planned so far.
Gregor Kuglitsch: Thank you. I had one other question. Maybe if you could just give us some kind of color on various cost dynamics that you're seeing, particularly on I guess your own costs, I guess, it's wages specifically, but also in the supply chain?
Anders Danielsson: Yes, we have, of course, seen price escalation in the material chain and also some bottlenecks. I think we have been handling this in a very good way. It has not impacted our profitability in a big way. I see that we have been mitigating this by being very careful that we have the supply chain in place and we also secured the prices before we even bid for projects or if we cannot do that, we secure it as soon as possible after we sign a contract. We should not speculate the volatility we see in the market now. And also, we're working with the contract - different contract model. We have some contracts that are more of a cost-plus that we get paid for the cost and then we have fee on that and we also have contract where we have the inflation clauses in the contract. So we get compensated for cost escalation. And so far we have been trying to mitigate thereby expect it to be volatile in the future. So we have to stay on top of that and we will.
Operator: Thank you. [Operator Instructions] And as there are no more questions registered, I hand back to the speakers.
Andre Lofgren: All right. Thank you very much. And with that, we say good day for today. Thank you. Bye.